Operator: Hello and welcome to the W.W. Grainger Third Quarter 2020 Earnings Conference Call. [Operator Instructions]. It's now my pleasure to turn the call over to your host Irene Holman, VP, Investor Relations. Please go ahead.
Irene Holman: Good morning. Welcome to Grainger's Third Quarter 2020 Earnings Call. With me are D.G. Macpherson, Chairman and CEO; and Tom Okray, SVP and CFO. As a reminder, some of our comments today may be forward-looking statements. Actual results may differ materially as a result of various risks and uncertainties, including those detailed in our SEC filings. Reconciliations of any non-GAAP financial measures with their corresponding GAAP measures are found in the tables at the end of this slide presentation and in our Q3 press release, both of which are available on our IR website. This morning's call will focus on adjusted results for the third quarter of 2020, which exclude restructuring and other items that are outlined in our earnings release.  Now I'll turn it over to D.G.
Donald Macpherson: Thanks, Irene. Good morning, and thank you for joining us today. Market conditions remained challenging in the third quarter as the pandemic conditions improved but continued to weigh on many of our customers. Amidst these challenges, Grainger performed well, continuing to demonstrate our resilience and strength. I'm so proud of how Grainger team members have responded to the challenges of 2020, staying relentlessly focused on further deepening relationships with our customers and supporting each other.  I've shared with you our Grainger edge framework, which includes our purpose, aspiration, strategy and the principles that define the behaviors we expect from all team members. These principles, including starting with the customer, acting with intent and competing with urgency, provide clarity and focus as we continue to execute on our purpose to keep the world working. And we'll continue to leverage the Grainger edge in all that we do throughout this pandemic and beyond.  So let me start off with a brief business update and an overview of our third quarter performance before turning it over to Tom to dive into the details. On the business side, we continue to serve our customers well to support the needs and safety of our team members and ensure we remain in a strong financial position. A quick update on each point. Grainger has operated effectively throughout the pandemic, first in support of essential businesses and now in serving all businesses. Each of our customers has a unique story on how they have been impacted by and managed through the pandemic. We have been there for all of them. Sales to health care, government and e-commerce businesses remained strong in the quarter, and we saw improving trends with manufacturing and commercial customers. I'll address the pattern of revenue in a moment.  Our world-class integrated supply chain organization, which supports both our North American high-touch businesses and our Zoro endless assortment platform, has helped find and secure products to meet customer demand. We have successfully worked down our backlog of orders for most pandemic-related products, including masks, and continue to work with suppliers to catch up on a few categories that remain scarce, including some gloves and hand sanitizers. The team remains laser-focused on maintaining our high level of customer service. Customer feedback has been strong and improving throughout the pandemic.  For our team members, we continue to take steps to support not only their safety but their overall well-being during this uncertain time. To date, we have managed the challenges of 2020 without major layoffs and currently have roughly 1% of our workforce still on furlough. Importantly, we've maintained a strong financial position. We've been diligent in controlling costs while balancing the need to continue to serve our customers, support our team members and invest where it matters most. Our strong performance over the last 2 quarters, together with our solid cost containment, have enabled us to relax a number of our short-term cash preservation actions. We exited the quarter with approximately $2.1 billion in available liquidity.  We continue to make strong progress on our strategic growth priorities during the short-term uncertainty. We have continued to execute our transform merchandising process to drive significant user experience improvements to grainger.com, including our search and visualization capabilities and enriched product descriptions and content. By the end of 2020, we expect to have remerchandised $2.8 billion in product through this new process, including $1.6 billion in the year alone. We intend to further accelerate these efforts moving forward as a result of our new product information management system that launched in the third quarter. Customer feedback on our website has improved significantly over the past 6 quarters.  Marketing has been a large contributor of our U.S. share gain over the last few years. We have improved effectiveness in both media advertising and paid search and plan to further invest in marketing given these strong returns. We continue to deepen relationships with our customers to our large customer multisite growth initiative, enhancements to our KeepStock offering and improvements to our sales strategy and effectiveness. We know that when we embed one or more of our service offerings with our customers, we foster deeper and longer-lasting relationships. Over 60% of our U.S. revenue is generated from customers with one or more embedded solution.  And lastly, within our endless assortment model, we are executing the successful MonatoRO playbook at Zoro here in the U.S. and are making strides in marketing effectiveness, customer analytics and SKU additions. This year alone, we have added 1.5 million SKUs to Zoro, pushing its assortment to roughly 5 million products.  Turning to our quarterly performance. We produced strong operating results in the third quarter. Organic daily sales finished up 4.6% in the quarter, underpinned by growth in our U.S. high-touch business and continued impressive performance of our endless assortment model. In the U.S., we realized strong outgrowth to the broader MRO market as a whole, which was down 5% to 6% in the quarter. Our gains were supported by pandemic-related demand, sales to new customers and improved sales of nonpandemic product as we started to see some stabilizing trends in underlying business activity. Overall business activity still trails pre-pandemic levels as some customers remain disrupted by COVID.  The endless assortment model continues to deliver with 20% growth in the third quarter, while also generating meaningfully improved margins. We remain very excited about the future of this business as we continue to adopt learnings from MonatoRO to drive growth and profitability. At the total company level, we expanded adjusted operating margins by 90 basis points as gross margin stabilized sequentially and we demonstrated strong cost control. Tom will detail this in a bit. The business continues to produce a durable cash flow stream with operating cash flow of $311 million and free cash flow of $252 million.  Looking at Slide 6, I thought it would be important to again show this chart to highlight the underlying trends with pandemic and nonpandemic products based on our current categorization of SKUs. Our characterization goes beyond traditional safety products to include product categories with substantial volume increases during the pandemic. Flexiglass barriers will be an example. As you can see, while sales of pandemic-related products have decreased since May, continued demand for key products, including masks, gloves and cleaning supplies, has kept pandemic sales elevated year-over-year. This heightened demand has continued to come from a multitude of new and existing customers across numerous industries as businesses reopen and adjust to the new operating protocols.  On the nonpandemic side, sales have improved since bottoming out in April, with nonpandemic sales now down about 7% year-over-year. This improvement has been seen across most industries with some of the obvious industries remaining the furthest below their pre-pandemic levels. These include airlines, hotels and cruise lines. Based on month-to-date performance, we forecast October sales to finish up around 2% for the U.S. segment on continued trends in pandemic and nonpandemic performance.  Predicting the recovery over the next few quarters is very challenging. The path of the virus will have a big impact on whether the recent improvements continue, level off or reverse, but we feel well positioned to compete in any environment that comes our way.  With that, I will turn it over to Tom to talk us through the quarter's results in detail. Tom?
Thomas Okray: Thanks, D.G. Starting on Slide 8, you can see we delivered strong results in the quarter. Organic daily sales, which adjust for the divestitures of Fabory in China, were up 4.6% on a constant currency basis. This increase was primarily driven by share gains in our U.S. segment and continued impressive growth in our endless assortment business, which was up over 20% in the quarter. These gains more than offset pandemic-related softness in our Canada and Cromwell businesses, where we saw meaningfully higher sales sequentially but still remain well below pre-pandemic levels.  Gross margin for the total company was down 170 basis points versus the prior year quarter, but represented a 120 basis point improvement from the second quarter year-over-year decline. Margin pressure continues to be driven by pandemic-related headwinds, primarily in our U.S. segment as well as continued unit -- business unit mix impact as we experienced significant growth in our endless assortment business.  Our SG&A came in at $700 million in the third quarter, better than our communicated range of $715 million to $730 million. SG&A cost was down $60 million year-over-year, and we captured 260 basis points of SG&A leverage in the period. This result stems from prudent cost reduction actions across our high-touch solutions model, including cost -- lower costs as a result of our Fabory divestiture and leverage gains with our endless assortment business. This SG&A performance more than overcame GP headwinds to drive a 90 basis point improvement in total company operating margins for the quarter, a tremendous result in this environment. Incremental margins were up 50% in the quarter. As mentioned last quarter, the utility of the incremental and decremental margin calculation is diminished in this uncertain environment as the metric can vary significantly given the magnitude of top line swings from quarter-to-quarter.  We generated operating cash flow of $311 million, which we used to continue to invest in the business, build appropriate inventory to support our customers and return capital to shareholders. Operating cash flow was 126% of net adjusted earnings, and year-to-date adjusted return on invested capital is over 29%. Given our solid results of the last couple of quarters, combined with stabilizing trends in underlying business activity, we fully repaid our revolving credit facility, increased our dividend payment and are announcing today our intent to restart our share repurchase program in the fourth quarter. While we anticipate putting several hundred million dollars to work on repurchases in Q4, we will monitor market conditions and optimize the amount accordingly. The favorable trends over the last several months give us confidence that this is the right time to move forward with these actions.  Turning to our U.S. segment. Daily sales increased 3.1% in the quarter, driven primarily by volume, which is net of unfavorable product mix. On the product side, sales of pandemic-related products remained elevated, up 53% in the quarter, but as shown earlier, have tapered off from the peak in March. Nonpandemic products were down around 8% in the quarter, but continued to show meaningful improvement from April lows. We've also seen a significant uptick in new customer acquisitions with some really encouraging signs of repeat buying. From a customer perspective, we saw improved growth with both large and midsized customers, with the latter growing 6% in the quarter, an improvement from the 6% decline year-over-year we saw in Q2 2020.  Gross margins of 36.4% was down 160 basis points compared to the third quarter of 2019, but improved sequentially from the 310 basis point year-over-year decline we saw in the second quarter of 2020. The unfavorable variance in gross margin was driven by -- mainly by 2 factors that were similar to the second quarter, pandemic-related product headwinds and tariff-fueled cost inflation. Pandemic-related headwinds contributed about 140 basis points of the gross margin decline as we continue to see unfavorable product and customer mix due to elevated sales of lower-margin pandemic product.  Beyond the pandemic impact, we continue to face pressure in the quarter due to the lapping of year-over-year cost inflation, which was driven partially by tariffs that went into effect in 2019. This drove approximately 80 basis points of year-over-year margin decline. Based on what we know now, we expect that both of these gross margin headwinds will continue into the fourth quarter. It should be noted that we anticipate the tariff headwinds will fully subside as we move into 2021. Offsetting these two factors in the quarter was a 60 basis points tailwind related to favorable freight costs driven by nonrecurring shipping efficiencies and timing. We do not expect these freight dynamics to continue in the fourth quarter.  From an SG&A perspective, we gained 160 basis points of leverage with cost decreasing approximately $22 million year-over-year. The reduction was driven primarily by decreased travel expenses, lower labor-related costs and general operating efficiencies. Operating margin remained flat to the prior year quarter at 15.1% as SG&A leverage offset gross margin headwinds. Return on invested capital was a very healthy 38%.  Drilling into our U.S. sales performance on Slide 10. While we estimate the U.S. MRO market declined between 5% and 6% in the third quarter, Grainger was able to capture roughly 850 basis points of outgrowth, fueled by pandemic-related sales, selling to new customers and improving sales of nonpandemic product. Despite the challenges of 2020, U.S. segment daily sales are up 2.1% year-to-date, and we have outgained the broader MRO market by over 900 basis points through the first 9 months of 2020.  Moving to our Other Businesses. Organic daily sales increased 12.5% or 12.3% on a constant currency basis. The endless assortment business grew at approximately 20%, fueled by strong results at both MonatoRO and Zoro during the quarter. Zoro continues to execute the MonatoRO playbook with improvements to marketing effectiveness, discounting strategies and better cost leverage, all helping to drive improved performance. Although we saw significant sequential improvement compared to the second quarter, our international high-touch businesses continue to be impacted by pandemic-related shutdowns with both Mexico and Cromwell seeing year-over-year declines.  Operating margins for Other Businesses are up 190 basis points, 35 basis points which is due to the divestiture of our Fabory and China businesses, which produced below system average profitability in the prior year. The remaining operating margin favorability was driven by significant SG&A leverage across the portfolio, most notably within our endless assortment business, which continues to do a nice job levering its cost base. This leverage was only partially offset by gross profit headwinds from incremental freight costs at MonatoRO  Turning to Slide 12. In Canada, daily sales decreased 9.9% or 9.1% in constant currency. The decline is comprised of roughly 8% decline in volume and price headwinds, including customer mix of approximately 1%. While volumes in Canada continued to be impacted by the pandemic-driven economic slowdown, the business did improve sequentially and is gaining traction with hospitals, manufacturing and higher-education customers. As the Canadian business continues to integrate and leverage our U.S. resources, we are making progress with our customer diversification efforts and are pleased with the trajectory of this business going forward.  Gross profit margin at Grainger Canada declined 35 basis points year-over-year, driven by pandemic-related mix headwinds, which were offset partially by lower freight costs in the quarter. Cost management remains strong with savings of $5 million year-over-year, resulting in 110 basis points of SG&A leverage. Total operating margins were up 75 basis points versus prior year despite the top line challenges.  Before I turn it back to D.G., similar to the last couple of quarters, I want to give you a sense of how we're thinking about things in the fourth quarter. From a sales perspective, month-to-date trends support our estimate for October year-over-year sales growth to be up over 4% at the total company level on an organic constant currency basis. This October month end estimate is reflective of continued solid growth in our U.S. segment, coupled with strong performance in endless assortment.  From a gross margin perspective, as I previously mentioned, we anticipate gross margin pressure will continue as the pandemic-related impacts and tariff-fueled cost inflation headwinds will persist into the fourth quarter. The onetime freight tailwind we realized in the third quarter will fall off. Further, we anticipate year-over-year cost headwinds in the fourth quarter as the already stretched global shipping providers pass through freight surcharges during the busy holiday season. Given these factors and based on what we are currently seeing, we anticipate gross margins will be down over 200 basis points year-over-year.  With respect to SG&A, we expect to see sequential increases in a couple of areas, primarily related to some incremental technology investments to support growth in the U.S. and at MonatoRO, which will push our estimated SG&A to between $725 million to $740 million for the fourth quarter. As always, we remain focused on managing near-term headwinds while continuing to invest in long-term growth, particularly in people, processes and technology where and when it makes sense.  With that, I'll turn it back to D.G. for some final thoughts.
Donald Macpherson: Thanks, Tom. So I'm proud of our results for the quarter, and I want to thank our team members for their commitment to safety and customer service.  We have gained share, improved our merchandising and marketing capabilities, deepened our customer relationships, expanded our assortment while improving margins at Zoro and have significant financial flexibility to support the business moving forward. We remain committed to fulfilling our purpose of keeping the world working throughout this pandemic as well as continuing to execute our strategy, so we can achieve this purpose for years to come.  And with that, we will open up the line for questions.
Operator: [Operator Instructions]. Our first question today is coming from Chris Glynn from Oppenheimer.
Christopher Glynn: I was curious, you mentioned the customer acquisition trend still going strong and conversions to some regular customer dynamics are going well. Just wondering if you could further dive into that topic and how it informs early view of share outperformance for '21?
Donald Macpherson: Great. Thanks, Chris. So yes, so we've had -- as you might guess, given inventory positions, we have had a whole bunch of new customers sample Grainger and Zoro and MonatoRO, frankly, as we've had elevated customer acquisitions through this period. The good news is that those who have repeated, the number is much higher than in the past. The repeat rates are similar to the past, but we have a much bigger funnel, and we're starting to get those customers to be regular purchasing customers. So we've seen really nice, attractive customer acquisition through this period, and we think that really helps bode well for the future. We feel very confident in our 300 to 400 basis point outgrowth in the U.S. business and the 20% growth expectations for the endless assortment, and we have no reason to change those right now. This year, we've obviously been higher than that number in the U.S. We would expect to be in that range and shoot for higher, but be in that range moving forward.
Christopher Glynn: Okay. And then for follow-up. I think the -- would you anticipate that 3Q pandemic sales using October as a proxy might approximate the sustainable run rates as long as workplaces are very germaphobic? Or is that still way too in flux?
Donald Macpherson: I think that's a very interesting question, and I don't think anybody has the answer. What we're seeing right now is elevated pandemic sales. We expect that to continue. And certainly, as case rates rise, which we've seen recently, we would expect that to continue through the fall. What happens when we have better treatments and a vaccine is probably a question that is all in our minds, and it's probably impossible to answer. We would expect some of that to moderate, but we do think people are going to be more conscious of safety and cleanliness for some period after that as well. But for now, we're seeing similar trends to what we've seen in the past. We would expect that to continue in the fall, given the rate of transmission.
Operator: Our next question today is coming from Chris Dankert from Longbow Research.
Christopher Dankert: I guess, first off, what's the status of investment in Zoro? I mean in the past, we'd mentioned you had $50 million of investment in '19. It largely rolls off this year, I guess. Are we still on pace to get to mid-single-digit EBIT margin plus in the Other Business in '21? Just thoughts on investment there would be really helpful, I think.
Donald Macpherson: Sure. So we had a very heavy investment period in the back half of '18 and '19 with Zoro. Many of those -- those investments took several forms. One was technology. Another was people in getting the talent to be able to have their own destiny in terms of product adds and the like. And so we made those investments. Those investments are behind us. We start to see those -- starting to see those leverage themselves now. This year, we're getting improved operating margins in Zoro. We think the long-term path for Zoro from a margin perspective is as we've discussed. We'll talk about next year in January, but we have no reason to believe the positivity that we've seen won't continue, and we still think that is going to be a high single-digit operating margin business in the next several years. And so that's the path for that business.
Christopher Dankert: Got it. Got it. And then thinking about SG&A, I mean, compared to what the guidance was, again, coming in below that range. My apologies if I missed it, but just what were the key moving parts on what helps you kind of cut that SG&A number even lower in the third quarter here?
Thomas Okray: Yes. Thanks.
Donald Macpherson: Tom, do you want to take that?
Thomas Okray: Yes, sure. Thanks, Chris. First of all, there was a little bit that was win dated just with the Fabory divestiture, and that takes the $60 million down to about $40 million. But then we just had real good efficiency across the board. Everything from travel and entertainment, professional services, cleaning supply, security, just a real good focus by the team in terms of efficiency and cost control. And one of the great things with the pandemic is we've always been cost conscious, but I think we've really upped our game. And I think it's going to continue going forward where we're really in this mode of operating this way. So just to summarize, really good cost control across the board while continuing to spend in advertising and technology, which are important for us.
Christopher Dankert: Got it. Glad to hear it that it's a broad-based savings, certainly. So congrats again on the quarter.
Operator: Our next question today is coming from Adam Uhlman from Cleveland Research.
Adam Uhlman: Sticking with the SG&A question, I guess the freight dynamics that you pointed out for the third quarter and the fourth quarter are pretty interesting. As the surcharge rate kind of transition into base rate increases, I'm wondering if you could help us ballpark just how meaningful of a headwind that could be for 2021? Or perhaps it's not a headwind, and you have some other levers to pull to offset that? And maybe you could just remind us about how you charge customers for freight. I believe most customers don't pay, but maybe discuss that as well.
Donald Macpherson: So I would say that it's a great question. Most customers -- our largest customers and contract customers often don't pay for parcel. They often pay for LTL or large shipments. The surcharge that Tom was referring to is really around large packages during the peak season, and we will charge for some of that. We expect to recoup some of that. We don't expect to recoup all of that. And that doesn't have much to do with what happens into next year. So we'll talk about next year, obviously, after this quarter. I would say, certainly, the freight business, given the number of shipments going to people's houses, has become strained, and we've seen some pressure. That does not mean though that the surcharges that happened in the fall necessarily translate going forward, and so we'll talk about that. And we think we've got initiatives and actions to help mitigate that moving forward, but we'll talk about that at the end of the year.
Adam Uhlman: Okay. Great. That's good to hear. And then secondly, the company has been building up inventory. And I was curious, one, if you could talk about your inventory and working capital assumptions here in the medium term? And then secondly, if you are concerned at all of absorbing losses on any pandemic inventory that you might be taking if we have some good luck and the pandemic starts to roll off and market pricing deteriorates further?
Donald Macpherson: Yes. So let me take those. And Tom, you can add to them if you think I miss anything. So in terms of inventory, there's really 2 areas where we've built inventory, and we'll continue to do so through the latter part of the year. The first one is sort of normal, which is we are starting the Louisville DC full up in 2021. And so as that comes on, we obviously stock that building. That's partially stocked now, but becomes more fully stocked as we go through, and that's a part of what you've seen. The other part is pre-buys for pandemic-related product. I would say to your question about do we have risk on excess obsolescence with that product, part of what you see in terms of -- with us in terms of pandemic GP already embeds some write-downs.  We obviously, to make sure we could serve our customers, took positions at a whole bunch of products in the height of the pandemic. And some of those, the price/cost has changed. Some of those, we haven't seen movement. In a lot of those, we've seen movement, and it's gone very well. But in that messiness to serve customers, which we think has been really, really important, you're already seeing that in some of the GP rates that you're seeing is us take that. We think that we're in good position. Most of the inventory build, to be clear, has been pre-buys on product that has very low risk. We know suppliers, we know product, we know product that will sell in any case, but trying to get out ahead of that in case the fall and the winter is really, really bad. And so most of that is not higher risk than normal. But certainly, in some of the speculative buys and things we took in the heart of the pandemic, you've already seen some of that come through in terms of GP.
Thomas Okray: Yes. And just to add a little bit more color on inventory and cash. One of the things that we've been very efficient on is our management of cash, and you've seen that in this quarter. More specifically, our cash conversion cycle, our DSO is actually down year-over-year a couple of days. And our DPO is actually favorable by more than a few days, which has allowed us to keep an overall cash conversion cycle that is very healthy versus last year and invest in the inventory. So we can play our role as an essential business and support the customers the way we need to. So you're right. Inventory is up since the beginning of the year, 8% at $1.78 billion. We've invested in working capital. It's up $220 million. And we did put pandemic inventory spend in the quarter of approximately $300 million. And as D.G. said, I mean, you're not going to bat 1,000 on all of that. So we go through the normal E&O process. And I guess the way I would describe it is we're very aggressive operationally, but very conservative financially. So doing the right thing to reserve. So thanks for the question.
Operator: Our next question today is coming from Chris Snyder from UBS.
Christopher Snyder: I just wanted to follow-up on endless assortment margins. I understand there's like a longer-term kind of high single-digit target out there for Zoro. But with the back-office investment slowing, what kind of incremental margins could we expect for this business as the top line continues to ramp?
Thomas Okray: Yes. It's a good question. We really don't look at incremental margins specifically on the endless assortment business just because the supply chain is so intertwined in the synergies with the broader business. So we really look at the business as the incremental margin for the overall entity.
Donald Macpherson: I mean, Tom, I would just add. I mean, if you look at incremental margins with MonatoRO, typically, you're talking about a 15% to 20%, which is just GP minus the variable marketing cost. And so I would expect us to get to something like that over time at Zoro. But that's typically what we see in MonatoRO, I think.
Christopher Snyder: Appreciate that. And then just following up on MonatoRO. So like the stock is like 100% year-to-date in Tokyo last I checked. Can you just talk about how you kind of view that business strategically at Grainger?
Donald Macpherson: So we view both the endless assortment and the high-touch solutions model as absolutely core to what we do. Masaya Suzuki, who's the leader of that business now, also leads Zoro. We are sharing best practices and analytics and working together to ensure that we're actually making progress across those 2 businesses and our Zoro business in the U.K. as well. So we view it as absolutely core to what we do right now. And we're getting a whole lot of leverage from that MonatoRO team in terms of learnings and building the business in Zoro for the future. So we are running those very, very tightly together at this point.
Operator: Our next question today is coming from Deane Dray from RBC Capital Markets.
Deane Dray: I was hoping we get some color on the -- additional color on the gross margin guidance for the fourth quarter down 200 bps. Is there any way you can parse out what the pandemic sales would be versus non pandemic sales? We're just trying to get a sense of what the core gross margin trajectory might be.
Thomas Okray: Yes. I think the way to look at it, Deane, is we said the pandemic impact is 140 basis points for this quarter, and the cost other is 80 basis point unfavorable bad guy, and we had the onetime freight of 60. So if you remove the 60 from the 140 and the 80, you get to 220. Now we think that the pandemic will likely improve. Obviously, it's very volatile. Say you get roughly a 20% improvement on your cost inflation as well as your pandemic, that gets you to around 200-ish. And then you throw in the freight headwinds that we think we might experience at the end of the year, as D.G. discussed, with the surcharges, and that gets you above 200.
Deane Dray: That's real helpful. And then I was hoping to get some additional color on the October sales. Just to the extent that you can, anything that you think would be helpful regarding geographic, customer sizes, anything else about the mix, that would be a big help here.
Donald Macpherson: I think, Deane, if you looked at sales revenue performance July, August, September, October, you'd be hard pressed to see much of a difference across those months. We've seen a little tail off in pandemic and a little improvement in nonpandemic. But pretty much, the trend has been very, very similar across all of those months. So the trends we've seen and the performance we saw in the second quarter really just appears to be -- in the third quarter appears to be continuing in October at this point.
Deane Dray: Got it. And just lastly, an observation. I've certainly heard the Grainger spot adds on business radio pretty frequently in the brand building. So I guess pretty effective.
Operator: Our next question today is coming from Nigel Coe from Wolfe Research.
Nigel Coe: I want to pick up on that 4Q gross margin guidance. So roughly 200 basis points down from 38% last quarter gets it to about 36%, which would be up from this quarter. So I just wanted to make sure that, that math kind of still holds that we're looking for what would be a fairly normal sequential pickup in gross margin percentage from 3Q.
Donald Macpherson: Tom, do you want to take that one?
Thomas Okray: I think another way to look at it is our absolute gross margin should be very similar to Q3. And then when you just look at the comparison to prior year, it's going to bump it over 200. So that's the other way I would look at it.
Nigel Coe: Okay. No, that's fair. And then the midsize customer growth was pretty impressive and a nice swing from what we saw last quarter. And I'm just curious, are we seeing -- obviously, a lot of your competitors, especially the small competitors and 1 of 2 larger ones, employ a very high-touch distribution model. And I'm wondering if we're seeing a switch towards perhaps more low-touch, direct ship e-commerce type sales and maybe some supply consolidation? I mean anything you see in there in the market?
Donald Macpherson: Well, yes, I would say we've certainly seen more digital sales through the pandemic. I think we've seen that in almost every industry and ours has been no different. What I would say is that we are seeing improvements in midsize customer growth from digital actions but also from inside sales actions. So that is more of a touch, but we're seeing nice growth across both of those contact points. And so yes, I would say it's fair to characterize as more digital, but not all digital. We're also seeing some nice growth through some of our other actions that are more high touch.
Operator: Our next question today is coming from Josh Pokrzywinski from Morgan Stanley.
Joshua Pokrzywinski: Just a couple of questions. I was -- covered a lot of ground already, but one thing I want to be sure on, if you don't mind. Tom, on endless assortment, clearly some good leverage happening there. But just wondering if anything is happening inside of Zoro or MonatoRO, for that matter, with mix. Obviously, in the middle of pandemic, we can talk about like pandemic mix and safety products. But I guess, just more broadly, are people buying different stuff than that is normally tuned up for? And does that have some benefit, positive or negative, that may not look like the ongoing model?
Thomas Okray: Yes. I think the only thing that I would say, and then, D.G., please add, is we're probably seeing more B2C customers than B2B customers in the pandemic. But other than that, nothing out of the ordinary.
Donald Macpherson: Yes. So one of the things that I would say that's muddled the pandemic a little bit in terms of results has been with so many people working from home, sometimes, the business and the consumer tends to blur. I've listened to a bunch of contact center calls. And it's fascinating that there's a lot of people at home may be buying things for businesses, but also sometimes delivering to their home. And so we think we've had more consumer acquisition than normal. We don't remarket to consumers, whether in Zoro or Grainger. And what we do know is that the business customer acquisition has been very solid, very strong. And the attractiveness of those customers has been every bit as strong as we've seen in the past. So we're happy with -- besides having to sort of sift through consumer business, the business, the [indiscernible] business has been very strong, and that's been that sort of key for us.
Joshua Pokrzywinski: Got it. That's helpful. And then it sounds like Deane is going to be a future customer here based on the effect of this marketing, so maybe you can close that lead.
Donald Macpherson: He's not the target segment, I can assure you that.
Joshua Pokrzywinski: Understood. And then just on the inventory question. I know someone asked earlier about the inventory build there. Anything on kind of seasonally uncommon liquidation in the fourth quarter that you're planning that may be dragging that down or impacting that at all? Just thinking about historically, usually, you build a little inventory in the fourth quarter sequentially. Is that something that happened earlier? And is that playing into the -- that dynamic at all on the gross margin?
Thomas Okray: It's playing into it a little bit. As we said on the previous question, we've been very aggressively operationally from an inventory perspective because it's the right thing to do, and we want to have the product available for our customers. But on the other hand, we've been conservative financially. So part of the gross margin deterioration that you've seen in Q3 is an E&O headwind, cleaning up some of the buys that didn't exactly thread the needle. So we've tried to do most of that in Q3. We'll see a little bit in Q4 as well. And then we believe that that's going to be behind us going into 2021, we'll have the right product to serve our customer. And then if anything, we'll have a tailwind as we unwind some of those reserves when the products that we have reserved potentially will be available for sale.
Operator: Our next question today is coming from John Inch from Gordon Haskett.
John Inch: Assuming that PPE sales which you would assume, right, to happen as the market has been saturated naturally continued to trend lower, as we roll into 2021, what kind of a kind of an absolute sales headwind could this prospectively represent? And you guys have had very strong OpEx control. Kind of -- I don't think I've heard this in the discussion thus far. I mean, what kind of costs are you thinking about are going to have to come back next year as you sort of flip from PPE to kind of a more normalized volume trajectory for other products?
Donald Macpherson: Well, I think there's a lot in that question, John. I would say that we -- it's hard -- it's really difficult to project the PPE trend. What we've seen since April, in April, we saw PPE up almost 100% pandemic product, what we call pandemic that includes more than PPE. We saw sort of normal volumes down 20% in April. And what we've seen is those 2 sort of just come together consistently since that time. And there's lots of puts and takes to that. So if PPE comes down and we get a little bit better nonpandemic product, it helps GP, probably doesn't have any impact on SG&A, frankly. We think we can control SG&A in any environment. And one of the good things about the pandemic, and there haven't been many, is it really forces a business to focus, and I think we've really been focused on what matters. And I think that's something that we definitely need to take forward is how do we continue to focus on a few things that really matter, which helps drive results, but also helps you manage your SG&A. So we think we're going to be able to do that going forward. I can't give you a crystal ball answer as to what's going to happen with PPE because it just all depends on the timing of the virus and people's behavior, and we've never seen anything like this before.
John Inch: Right. But do you have any sense, D.G., of what maybe the SG&A -- I'm sorry, Tom, what sort of SG&A headwinds you're facing kind of on a quantifiable basis? Because you do have the 1% people that are furloughed, presumably going to have to bleed back a little bit of travel and some merit increases and stuff like that. Is it too early to tell at this point? Or how are you thinking about it?
Donald Macpherson: No. I mean we'll talk about that certainly at year-end as we talk about forward looking. We took -- we had merit increases this year. So that's not -- yes, clearly, we have costs that will come back into the business. Travel will be modest, we think, for the next 6 months, given what we're seeing with the virus. At some point, that can come back. But I think the headline for me would be, we've seen nice growth. GP has been depressed given pandemic sales has been so elevated. SG&A has been down. I think, over time, as that moderates, you get better GP and a little bit of cost back added into the business. And there's just a dynamic there that we can talk about later.
John Inch: I understand.
Thomas Okray: Yes. I'm sorry, the only thing that I would reinforce is, as D.G. said, we're always going to be about SG&A efficiency and control, and we'll handle that. The upside that I see which D.G. mentioned is we're going to see the gross margin pop from as the pandemic goes down. And also, I think on the sales front, as the broader economy opens up, we're going to be well positioned to ride that wave as well. And I would have to imagine, obviously it's speculation, that there's going to be a lot of PP&E product that's going to come into those businesses opening up as well. So I see it more as a tailwind than any sort of a headwind.
John Inch: D.G., just lastly, implicit in your answer on MonatoRO and monetizing MonatoRO, you indicated that Zoro is still pretty important to the Zoro business. It's intertwined and so forth. At what point can Zoro do you think stands on its own where you might strategically be in a position to say, hey, we don't need to own half of MonatoRO, the stock has done fantastic, let's take our position down to 20%, 30%, something like that or even to 0%?
Donald Macpherson: Well, I'd say a couple of things to that. One is it's probably timing, you probably need 3 more years, given what we're projecting to get Zoro to where we would like to get it. So it's really got the connected tissue to be a really strong performer for a long time. And so that's what we're shooting for. At that point, obviously, we could do things. There's all kinds of tax implications of that, John. And so we need to think through all that at that point. For now, for the next 3 years, we're thinking of it as we need to get Zoro business performing well. We're really excited about the MonatoRO path, and we think that's the right focus for us.
Operator: Our next question is coming from David Manthey from Baird.
David Manthey: Tom, I'll have to go back and review your commentary. But when you were talking about gross margin and you said above 200, I'm confused, was that a fourth quarter statement? Or were you walking into 2021?
Thomas Okray: Fourth quarter, Dave. The way I'm looking at it is just simple math. If you look at Q3, 160 bad guy on gross margin with a 60 bps of onetime freight. So if you just take the 60 bps up, that gets you to 220. Now we assume the pandemic is going to get better as is cost inflation, so bring that down to 200 or a little bit below. But then going back to the freight surcharges we see during the holiday season, that will get us back above 200, which is the framework that we talked about in the prepared remarks for Q4. Now having said that, I mean, it's very fluid. It's hard to predict. But we're just trying to give you guys some framework for your model.
David Manthey: Okay. Yes. That's very helpful. And so I'll ask the question. Gross margin is obviously extremely hard to model these days. And if we're just thinking big picture moving parts from where we're lined up in 2020, which looks like, I don't know, 30 -- low 36s. If you just were thinking big picture, what are the main moving parts as we go from 2020 to 2021 that could move that up or down?
Thomas Okray: Yes. We'll have a lot more to say about that going forward. I think, though, just to give you a couple of things to think about. One would be how long is the pandemic going to last? Because obviously, the longer the pandemic lasts, the more we're going to be depressed with pandemic-related mix and the type of customers we're selling to. So that's number one. Number two, we should see a natural tailwind in terms of we will have fully lapped the tariff-related cost inflation as well as we'll probably see less spikes in terms of cost inflation related to the pandemic product. So those are the 2 big ones to think about, and both of them should be tailwinds for 2021. But again, it's premature to talk in detail. We'll have plenty of time for that later.
David Manthey: Got it. That's great color. And then second, on KeepStock and these embedded solutions that you talk about making up 60% of revenues. Just to put that in context, what percentage of customers would that represent? And then recognizing that those customers obviously buy from -- via several mechanisms that you provide, could you talk about what percentage of sales are directly via the embedded solutions today?
Donald Macpherson: Well, so let me try to take that. So most of our largest complex customers will have embedded solutions. And typically, they'll have both a KeepStock inventory management solution and EDI Pro sort of connected digital solution as well. And so the EDI Pro and KeepStock would make up over 30% of our direct revenue, I believe. Don't quote me on it, something like that. I don't have that in the numbers right in front of me, it's something like that. In terms of number of customers, obviously, our midsized customers have fewer of those solutions. They're more to buying on grainger.com. And by the way, that can be pseudo embedded, although I call it embedded because they can have -- their own they have their own pricing, they may have their own workflow on grainger.com. But typically, they wouldn't have inventory management. And so from a customer count, the number of customers will be much fewer in that 60% than those in there, but the largest complex customers will all have an embedded solution in general.
Operator: Our next question today is coming from Michael McGinn from Wells Fargo.
Michael McGinn: If I could just move to the low-touch segment. Can you talk about the sell-through rate of per site visit or any other tangible improvement for SKU recommendations, substitute or frequently packaged products and SKU count and what that's -- what's been the most impactful so far and what will be going forward?
Donald Macpherson: Are you talking about the endless assortment business, the Zoro business?
Michael McGinn: Yes. Yes, the endless assortment.
Donald Macpherson: Yes. Yes. So I mean, I'd say there's three things that have been really impactful. One is SKU count. So we look at the productivity of every SKU add, and we look over kind of the last 6, 7 years as we've added SKUs. We're now -- we've now hit the 5 million points. The adds we've made in the last 6 months are as productive and it looks like maybe even more productive than those that we've made in the past. So that bodes pretty well for future growth. So that's probably the most important piece of the growth. The other one is customer analytics and marketing.  So getting customers, customer acquisition. The funnel is pretty big, but then getting customers to repeat is really the key. And we're doing all kinds of things there with analytics and marketing to get that second, third, fourth order and starting to get real traction there. So those are far and away the two most important things with the endless assortment business that we track, and we're seeing progress on both of those.
Michael McGinn: And how does it correlate to sales per site visit and what's kind of been the trend there?
Donald Macpherson: Sales per site visit. You mean customers coming on to the website and what's the revenue per site visit?
Michael McGinn: Yes. I guess what industry metrics are you benchmarking to within that and this assortment model? And what's been the improvement with this level of investment?
Donald Macpherson: So we look at things at other businesses would look at. The return on ad spend, that is interesting, but not sufficient. The most important thing is looking at customer value. And so looking at customer acquisition and the customer lifetime value. And so we look at new customer acquisition rates, repeat rates, and we link all that to a customer value model to understand the NPV of each customer ad. And so that's what we track all the time.
Michael McGinn: Got it. All right. On my second question, CapEx. Is there a normalized level of CapEx that you would be targeting in the out years as you transition less from branches more to endless assortment? Is there -- I mean, it looks like you're trending pretty well this year. Just wondering if there's -- if you underspent this year and there's a catch-up into next year or beyond?
Thomas Okray: Yes. I don't...
Donald Macpherson: Go ahead, Tom.
Thomas Okray: Yes. I don't think there's going to be any big catch-up. I mean, if you -- even if you look at, we spent roughly $60 million in the quarter, which was similar to last year. When the pandemic first hit, we tightened our belts a little bit and deferred some things. But given the confidence that we've had in the cash generation, we're back to normal spend levels. So I don't see any big wave coming in future years that would be anything out of the ordinary.
Operator: Our next question today is coming from Hamzah Mazari from Jefferies.
Hamzah Mazari: My question was just in the other segment, if you take out the endless assortment business, are those other businesses losing money today? Or are they profitable? And then is the endless assortment business now over 10% of revenue, where you have to sort of resegment that? Or is that not the right way to look at that?
Donald Macpherson: So on your second question, we are evaluating the need to think about any segmentation, and we'll talk about that and our position on that at the end of the year -- or with next year. So we are evaluating that, and we work with our auditors to make sure we understand requirements. So that's still to come. So there's different types of businesses that are in other when you take out endless assortment, but there's not a lot of them. So there's Mexico, that's profitable. There's Puerto Rico, that's profitable. And there's Cromwell, Cromwell is unprofitable now, but having a pretty good year in terms of customer service and experience, and they're losing less money this year than last. So in total, I believe those would be slightly unprofitable, but 2 of them are profitable and 1 is not and working on that one.
Operator: Our next question is coming from Justin Bergner from G. Research.
Justin Bergner: Quick clarification question, then a more open-ended question. The medium-sized customer growth going from negative 6% to 6%, how much of that related to those businesses sort of being closed in the second quarter or being unable to get pandemic-related product and then sort of catching up in the third quarter?
Donald Macpherson: So there are two things going on. One is some of those businesses were more impacted and may have been closed. I think the bigger issue was in the heat of the pandemic in April, May, in particular, given the way product supply happened for pandemic products and the customers we needed to funnel that product to, we didn't have product available for those customers. And in the summer, we relaxed that constraint as pandemic products became more available and we were able to open that up to that customer base. And so we've seen very strong growth since that happened. And I think that's probably the bigger issue is just being able to release the product for midsized customers, and we've seen nice growth as result.
Justin Bergner: Great. And then the open-ended question. Looking at it from a sort of customer grouping point of view, Grainger showed nice acceleration in the government and the retail channels. Maybe you could just sort of talk about anything unusual or potentially recurring that is going to sustain that trend and maybe in the context of just general outgrowth levers that may be materializing anew as you look towards the end of this year and into 2021?
Donald Macpherson: Yes. I think it's important to understand what retail is. Retail is mostly distribution centers that go direct to customer. We don't do a lot of sort of walk-in retail business. We're more sort of the distribution centers that obviously have more safety needs and other needs. So that has obviously been growing as an industry as the pandemic has happened. And so we've been there supporting our customers through that. So that is a trend that we believe will continue as we move forward. What was the other -- I'm sorry, what was the other segment you mentioned?
Justin Bergner: Government accelerating, which would sort of be surprising in light of pandemic sales being decelerating.
Donald Macpherson: Well, yes, the government sales have been strong, and a lot of that has been pandemic as governments try to find product to support their communities during this time. And so that's a lot of state government business. Military has been okay as well for federal. But certainly, state governments have been very, very busy as each of them has tried to fight the pandemic, and we've been there trying to help as much as possible.
Operator: Our next question today is coming from Patrick Baumann from JPMorgan.
Patrick Baumann: I just have a couple of quick ones here. [Technical Difficulty] just wondering if there's a way for you to quantify the amount of revenue from pandemic that could be a headwind to next year. It sounds like you still expect pretty good share gains and you said 300 to 400 basis points. But I just wanted to check to see if there's any major issues on that front in terms of the pandemic sales into next year.
Donald Macpherson: Well, I think we're definitely going to talk about that in January with our results, like I said before. Right now, and as we head into the winter, given what we're seeing with case counts, we expect pandemic sales to be elevated through the fall and into the winter. That would be our expectation. We will reevaluate as we go forward to really understand what the puts and takes are. But if pandemic sales go down, we think nonpandemic sales will go up because that would mean the pandemic isn't as much of a problem. And again, that helps our gross profit when that happens and probably overall profitability rates. So we don't really know. I think it's impossible to tell what's going to happen with pandemic products. At some point, it will be a headwind, but other things then won't be a headwind, and that's our expectation.
Patrick Baumann: Yes. Makes sense. And then last one real quick on Zoro. Are the added SKUs year-to-date, is that all third-party related? And since you're skewing mix more in that direction, I just want to check and see if there are any big differences in how you report the revenue or the margin or the type of margin you get when you ship third-party versus Grainger owned inventory.
Donald Macpherson: Yes. So a lot of the new product adds are third party, some are through the Grainger supply chain. Third-party items tend to be lower SG&A and slightly lower margin -- gross margin. But most of the time, we're working with high-quality companies that have very good fulfillment capabilities. And so that's one of our important sorts as we develop partners that actually add to our assortment. So it's really no difference in how we report it, but it is going to be a bigger factor for us going forward. We're going to continue to add third-party shippers, and that's a big part of what we're doing.
Thomas Okray: Yes. The only thing I would add, Patrick, is the accounting difference is whether you're an agent or not when you're doing third party, but that's a minor nuance. So thanks for the question.
Operator: We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Donald Macpherson: All right. So this is D.G. So thanks, everyone, for joining us. Really appreciate it. We feel good about our results in the quarter. We feel really good about our forward prospects. Obviously, there's a ton of uncertainty in terms of how the market is going to evolve. And probably more than anybody, we'd like for the pandemic to be behind us, but we know it's not. And so we're going to make sure we continue to support our customers through this. That's the first and most important thing we're going to do. And we're going to make sure we take care of our team members, and we're going to make sure we do things that are prudent, both for the current performance of the business but for long term. And we feel like we're taking the right actions and in really good position to succeed both during the pandemic and beyond. So thanks for joining us today, and hope you all stay safe.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.